Operator: Good morning and welcome to the Allegion First Quarter 2023 Earnings Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Tom Martineau, Vice President of Investor Relations and Treasurer. Please go ahead.
Tom Martineau: Thank you, Andrew. Good morning, everyone. Thank you for joining us for Allegion’s first quarter 2023 earnings call. With me today are John Stone, President and Chief Executive Officer and Mike Wagnes, Senior Vice President and Chief Financial Officer of Allegion. Our earnings release, which was issued earlier this morning, and the presentation, which we will refer to in today’s call, are available on our website at investor.allegion.com. This call will be recorded and archived on our website. Please go to Slides 2 and 3. Statements made in today’s call that are not historical facts are considered forward-looking statements and are made pursuant to the Safe Harbor provisions of federal securities law. Please see our most recent SEC filings for a description of some of the factors that may cause actual results to differ materially from our projections. The company assumes no obligation to update these forward-looking statements. Today’s presentation and commentary include non-GAAP financial measures. Please refer to the reconciliation in the financial tables of our press release for further details. Please go to Slide 4. And I will turn the call over to John.
John Stone: Thanks, Tom. Good morning, everyone. Thanks for joining us today. Allegion delivered another quarter of outstanding operational performance. We reported revenue roughly 27% up and adjusted EPS growth of nearly 40%. Looking at our markets, we see ongoing robust demand in our North America non-residential business, along with strong demand globally for our electronic solutions. We are seeing improvement in electronics components availability. And although supply is still short of demand, Americas Electronics Solutions grew by more than 30% this quarter. Residential markets remain rather soft in the quarter, particularly for the mechanical products and certain international markets also remain soft, particularly our global portable security business, which Mike will address in a few slides. We expanded margins substantially, up 290 basis points versus prior year. This now represents the fourth quarter in a row of margin expansion for Allegion as pricing momentum continues and efficiency and productivity are accelerating. We remain committed to expanding margins for 2023 and beyond, as you’ll hear on our Investor Day next week. We also realized significant improvement in cash flow year-over-year driven by its favorable earnings and better operating efficiencies. We are raising our outlook for the year on revenue, EPS and cash flow given strong Q1 execution, resilient market demand in non-residential segments, improving electronics availability amid the ongoing industry transformation to electronic smart hardware. Please go to Slide 5. Revenue for the first quarter was $923 million, an increase of 27.6% compared to ‘22. Organic growth of 15% was driven by favorable volume in the Americas non-residential business and strong price realization across the portfolio. The Access Technologies acquisition contributed approximately 14% to total growth and currency impacts remained a headwind. Adjusted operating margin and adjusted EBITDA margins in the first quarter increased by 290 basis points and 270 basis points respectively. The increases were attributable to favorable price and productivity, positive business mix and volume leverage associated with Americas non-residential growth. Excluding the acquisition of Access Technologies, adjusted operating income margins were up 380 basis points. Adjusted earnings per share of $1.58 increased $0.45 or approximately 40% versus the prior year. Strong operational performance more than offset the unfavorable impact of anticipated higher interest and tax expense. As previously mentioned, available cash flow was $46.7 million in the quarter, up nearly 300% versus the prior year. Mike will now walk you through the financial results and I’ll be back to discuss our updated 2023 outlook.
Mike Wagnes: Thanks, John and good morning everyone. Thank you for joining today’s call. Please go to Slide #6. This slide reflects our earnings per share reconciliation for the first quarter. For the first quarter of 2022, reported earnings per share was $1.05. After $0.08 of adjustments for the items noted on this slide, 2022 adjusted EPS was $1.13. Operational results were strong in the quarter, adding $0.46 per share, which drove approximately 40% growth. This was driven by double-digit organic revenue growth, favorable operating execution and positive business mix, which more than offset currency headwinds. Acquisitions and divestitures delivered $0.13 to earnings – of earnings per share. This was primarily driven by Access Technologies, which continues to deliver strong results. Interest expense reduced earnings per share by $0.11 driven by increased debt to finance the acquisition of Access Technologies and higher variable interest rates versus Q1 2022. A higher year-over-year tax rate reduced earnings by $0.03. This resulted in first quarter 2023 adjusted earnings per share of $1.58, an increase of $0.45 or 39.8% compared to the prior year. Lastly, as detailed on the page, we have an $0.18 per share reduction from adjusted EPS to arrive at reported EPS. As we discussed in our last earnings call, this amount now includes an adjustment for all acquisition-related amortization. After giving effect to these items, you arrive at first quarter 2023 reported earnings per share of $1.40. Please go to Slide #7. This slide depicts our revenue growth for the first quarter. I will talk to the results in total on this slide and address the regions on their respective slides. We delivered 15% organic growth driven by price realization across the portfolio and strong volume growth in the Americas non-residential business. Net acquisition and divestitures contributed 14.1% growth driven by Access Technologies. Currency pressures continue to be a headwind, primarily impacting our International segment bringing the total reported growth to 27.6% in the quarter. Please go to Slide #8. First quarter revenue for the Americas segment was $740.9 million, up 42% on a reported basis and up 22.6% organically. During the first quarter, price realization remained strong, offsetting ongoing inflationary pressures. In non-residential, we continue to see strong end market demand and volume growth, which benefited from the catch-up of improved electronic component supply. When coupled with price, this drove organic growth to approximately 30%. Our residential business was up mid single-digits, with favorable price offsetting lower volumes. Residential electronics volume growth was strong, but we continue to see weakness in end markets for mechanical products. Electronics growth exceeded 30% for the quarter as we continue to see both improvements in our supply chain and strong demand. Backlogs for non-residential electronic solutions remain elevated as we exit Q1 as demand is still limited by supply availability. Additionally, we expect residential electronics demand to be more aligned to retail point-of-sale as we go forward. We are pleased with the ongoing Access Technologies integrations and results. This business had pro forma revenue growth of approximately 15% versus Q1 2022 and contributing nearly 20% to the Americas reported growth number. We continue to see the benefits of a stable high-growth service business that Access Technologies provides us and the business is performing as well as we anticipated when we purchased it. Americas adjusted operating income of $198.1 million increased 59.5% versus the prior year period, while adjusted operating margins and adjusted EBITDA margins for the quarter were up 290 and 260 basis points respectively. Excluding Access Technologies, the Americas segment drove 500 basis point improvement in operating margins versus the prior year. Pricing productivity in excess of inflation and investments, volume leverage, along with positive mix, contributed to the margin improvement. Please go to Slide #9. First quarter revenue for Allegion International segment was $182.1 million, down 9.7% on a reported basis and down 4.8% organically. In the quarter, solid price realization was more than offset by lower volumes, primarily associated with our Portable Securities business. This business benefited from a COVID-related demand surge that extended into the first half of 2022. This resulted in the first half of 2023 having a more difficult comp as the market works its way back to a more normal cycle. Notably, the demand for our electronics and software solutions remained strong in Allegion International. In addition, currency headwinds persisted this quarter and reduced reported revenues by 4.4%. International adjusted operating income of $19.7 million decreased 27% versus the prior year period. Compared to 2022, adjusted operating margins and adjusted EBITDA margins declined 260 and 220 basis points respectively. The margin decline was primarily driven by reduced volumes. Please go to Slide #10. Year-to-date available cash flow for the first quarter came in at $46.7 million, up $34.9 million versus the prior year. This increase is driven by higher earnings and lower cash used for net working capital partially offset by higher capital expenditures that were mostly related to our new manufacturing facility in Mexico, which is scheduled to come online in the second half of 2023. Working capital as a percent of revenue increased versus the prior year. This is driven partially by the Access Technologies business, which was not owned in Q1 ‘22. Working capital has also increased from Q1 2022 as a result of the investments in inventory we made in the second half of last year to increase our safety stock and protect our customers. We saw a year-over-year and sequential improvement in inventory turns as we remain committed to manage our working capital more efficiently and drive improvement. The business continues to generate strong cash flow and the balance sheet continues to be in a healthy position. I will now hand it back over to John for an update on our full year 2023 outlook.
John Stone: Thanks Mike. Please go to Slide 11. We continue to expect strong electronics growth and the non-residential market demand in the Americas remains robust. Given the late cycle nature of our business, we expect this strength to continue through 2023. As a result, we are raising our 2023 outlook for the Americas segment, where we expect organic growth to be between 7.5% to 9.5%. We expect total growth inclusive of our Access Technologies acquisition to be between 15% and 17%. We expect to see non-residential organic growth to be up low double-digits with favorability in both price and volume. We still expect the residential business to be down with price mostly offsetting volume declines, which are expected to be in the low to mid single-digit range. Based on the strength we saw in the second half of 2022, we expect stronger growth in the first half of 2023, which we believe may moderate later in the year against those tougher comparables. There is no change in our outlook for the International segment we expect revenue in that segment to be relatively flat in soft end markets. All-in for the company, we are raising our outlook and expect total revenue growth to be between 11.5% to 13.5%, with organic revenue growth of 5.5% to 7.5%. Please go to Slide 12. As a result of our favorable revenue outlook and strong operational execution, we are raising our adjusted EPS outlook for the year and believe it will be between $6.55 and $6.75. Adjusted operational earnings are expected to increase approximately 13% to 16%. Interest is still expected to be around a $0.24 per share headwind, reflecting a full year of acquisition-related borrowings and increases to variable interest rates. Tax still expected to be a $0.20 headwind and other income still expected to be around a $0.05 headwind. The outlook continues to assume approximately $0.20 per share for costs related to restructuring and M&A and amortization expense related to acquired backlog. In addition, it excludes approximately $0.40 per share for acquired intangible asset amortization. As a result, reported EPS is now projected to be between $5.95 to $6.15. Lastly, we are increasing our outlook on available cash flow for the year to be in the $480 million to $500 million range. Please go to Slide 13. To summarize, we see strength in our Americas non-residential business and our global electronics solutions continue to provide us with significant growth opportunities, both near and long-term. We’re very pleased with the performance of our Access Technologies acquisition. The business is performing well, and we love the synergies with our non-res business. We’ve expanded margins for the fourth quarter in a row and remain committed to doing so moving forward. We saw significant improvements in cash flow, and it’s worth mentioning again that we saw improvements in inventory turns in the first quarter of 2023. Overall, we’re off to a great start. In 2023, our team is executing well, and Allegion’s best days are still ahead of us. Please go to Slide 14. And before we turn the call over to Q&A, I’d like to provide a final reminder that you’re all invited to join Mike and myself as well as other members of our executive team next week on Tuesday, May 2 for 2023 Investor and Analyst Day at our Americas headquarters in Carmel, Indiana. There you’ll have the opportunity to learn about our leadership team, our strategy and our exciting work driving seamless access. Formal presentations will be held 12:30 to 2:30 Eastern Time. And those who attend in person will also get a pretty exciting tour through our technical center following the presentations. This is a really exciting time in our company’s history. We’re a few months away from turning 10 years old, and our current executive team’s first Investor Day together. We hope to see you there. With that, let’s turn to Q&A.
Operator: [Operator Instructions] The first question comes from Julian Mitchell with Barclays. Please go ahead.
Julian Mitchell: Hi, good morning. Maybe just a first question around that non-residential Americas outlook and sort of an update there, so I heard you call out, I think, low double-digit revenue growth assumed for non-resi Americas this year. Maybe help us understand kind of what’s the split between price and volume versus your prior assumption? And also, it seems that your revenues you’re getting this big sort of boost from component supply issues easing? And give us some clarity perhaps about how you’re looking at sort of the spec writing the order flow? There is obviously a lot of investor consternation about commercial construction. So any signs of any change in customer appetite there?
Mike Wagnes: Yes. So Julian, why don’t I tackle the kind of the components of the guide, and John can talk to the general business dynamics. If you look at our non-res business, we expect to see both revenue growth driven by price and volume. As you know, we’ve been committed to fight that inflationary pressure. So pricing should be good for the full year. You saw a good pricing in Q1. And then as you look at a full year basis for volume, we will have growth, but not to the level you saw in Q1, obviously. We are running up against that tough comparable in the back half of the year. If you recall, non-resi grew 30% and I think in the third quarter and then greater than 25% in the fourth quarter. So we do have a tougher comparable. And then, John, do you want to talk to the spec activity and other items?
John Stone: Yes. Good morning, Julian, thanks for the questions. I think on the supply chain, you’re exactly right. Component supply has been, I’d say, steadily improving, including on the electronic side. And what we’ve been really happy to see is how quickly the Allegion team has essentially compounded every incremental improvement in the supply chain with better productivity, better operating efficiency in the factory. And our distribution channel sell-through has been quite rapid as lead times have come down. So happy to see that. I would say if you look back to the prepared remarks, Mike had some comments around electronics, particularly on the non-res side of electronics, still have elevated lead times, still have elevated backlogs. Supply has improved, quantity has improved. It’s still not as linear as we would like to see it, a bit choppy in terms of deliveries. But demand is still very strong, very robust and exciting future there. On just the general activity, I’d say, leading demand indicators: ABI, Dodge new starts, Dodge Construction Index, AIA consensus still reading rather favorable, honestly, choppy. It’s been mixed last few months. But some of those indices are, again, tipping back favorable here and there. For us, we do see strong spec writing activity, and that’s a flywheel that turns all year, every year. And the time between engaging with the architect, writing a specification and turning that into revenue that can sometimes be 18 to 24 months even. But the spec engine is always running. And right now, it’s running very hard. When you think about quoting, bidding, etcetera, that activity is quite robust as well. So again, we feel good about the non-res business. We feel good about our position in the non-res business through 2023.
Julian Mitchell: Thanks very much. And you did have a very good tailwind in the Americas from that sort of line price and productivity versus inflation and investment spend. I think it was over 300 points in the first quarter as a margin tailwind. So maybe as we think about the balance of the year, how does that – how quickly does that tailwind shrink? Should it still be a tailwind overall in the fourth quarter or is it more kind of back to neutral there? Just trying to understand some of those moving pieces in what you’re guiding for margins this year?
Mike Wagnes: Yes. So if you look at margins for the year, I expect our margins to be up, say, 50 to 100 basis points full year. And in every year moving forward, look for us to drive that margin expansion. You will hear this at Investor Day next week. We’re going to be driving margin expansion moving forward, and we’re committed to doing so. If you look at price productivity inflation investments, that is a big tailwind in Q1. We do have an easier comp in Q1. Obviously, Q3 and Q4, it’s a more challenging comp. I would just add, we expect that to be positive on a dollar basis in the back half of the year. We expect margin expansion for the full year, as I mentioned earlier. And as you think about our business, we are driving the necessary pricing actions to fight the inflationary pressures. We fell a little behind, let’s say, in ‘21 and early ‘22, we’ve taken the necessary actions to ensure that, that doesn’t happen again.
Julian Mitchell: That’s great. Thank you.
John Stone: Thanks, Julian.
Operator: The next question comes from Joe Ritchie with Goldman Sachs. Please go ahead.
Joe Ritchie: Hey, guys. Good morning.
John Stone: Hey, Joe.
Joe Ritchie: So can we maybe just follow-on on that pricing discussion? Look, it’s been great to see, particularly in the Americas business here, you’ve had double-digit pricing now for three quarters in a row. I’m just curious, like, have you put additional price increases through for this year? And then like how do you see pricing specifically in Americas progressing as the year goes along?
Mike Wagnes: Hey, Joe, thanks for the question. If you think about our Americas business, starting late ‘21 and all of ‘22, we’ve put in a substantial amount of pricing actions. We are starting to comp up against those pricing actions in ‘23. So as you move through the year, the realization percentage will be highest in the first quarter and then less as you proceed through the year. You’re still going to sell the product at a higher value, but the incremental price realization percent will come down. We do expect our pricing to be very sticky. As you remember, our non-residential business, we do list price adjustments that tend to stick. So we feel good about our pricing, but the magnitude will decline the amount of price realization as we progress through the year.
Joe Ritchie: Okay. Alright. Great. Helpful. And then my follow-on question, like back to the consternation in the market right now on non-res. Your commentary so far have been very positive as you think about the year. I guess maybe just provide a little bit more color how you’re thinking about the potential risk of a slowdown associated with middle market banking concerns and when you would potentially see that in your business with the leading indicators are that you’re looking at?
John Stone: Yes, Joe, this is John. It’s a good question. And it’s top of mind for everyone. I would say, again, if you think about Allegion’s business model, we are late cycle. We are a bit heavily weighted to the institutional segment, which tends to have sources of financing like bond referendums, public finance or these mega projects with large bank finance. So there is part of the business that maybe is not all that susceptible to the regional banks. And certainly, a lot of the business is susceptible to regional bank lending and credit conditions. So could that become an issue? Of course. Are we seeing a big impact right now? No, we’re not. Again, think about engaging with the architect, writing specifications of the classic pull strategy to pull the product through the channel. The timing from spec to project initiation to when doors and door hardware goes in the building can be 12, 18, 24 months. And so projects that have been started tend to get completed, and I think we’re seeing that right now.
Joe Ritchie: Makes lot of sense. Thank you.
Operator: The next question comes from Jeff Sprague with Vertical Research Partners. Please go ahead.
Jeff Sprague: Hi, thank you. Good morning.
John Stone: Good morning, Jeff.
Jeff Sprague: Hey, good morning. My question actually kind of picks up a little bit on some of that last point, John. Can you actually see kind of stimulus flowing into those institutional markets or kind of anything else that gives you maybe more visibility than you would typically have at this point in time?
John Stone: Yes, that’s a good question. And I think it’s always tricky to see. When we sell through distribution, you’re not quite sure the source of the project, the source of the financing. We’re – like – anyway, I’d say you see stimulus in airport terminal renewals, that was a big part of the Infrastructure and Jobs Act. You know there is funding going to higher ed through the emergency relief fund back from the COVID days to help with contactless, touchless, which goes very well into seamless access and electronic locks and credentials, etcetera. So I think, certainly, that’s flowing. I think there is still stimulus dollars left. Those tend to take a long time to work their way through the system. I would say, again, the leading indicators for our non-res industry still read positive. Our spec writing activity is quite robust. Our quoting, bidding activity in the channel is still robust. And given the fact that mechanical supply chain has improved, we are back to the book and ship, we are back to made to order there. Sell-through on the channel has been pretty strong. And so I think at least now, we would just still continue to reiterate, we feel good about non-res through 2023.
Jeff Sprague: Great. And then not to steal the thunder from next week, but have people walking out of their next week, what – if they took away one thing from the meeting that maybe they didn’t know or understand about Allegion or was important to accentuate what would that be?
John Stone: Yes. I appreciate the prelude to that question, Jeff. It’s good. No, I would say let’s hold the fireworks around the strategy and the technology and all that for now. What I am really excited about is getting all of you over here. You can come in and see what we are doing, see what we are all about and get some more time with this new leadership team. That’s important to us. We just appreciate the chance to spend some time with you and share with you what we are working on.
Jeff Sprague: Thanks a lot.
Operator: The next question comes from Joe O’Dea with Wells Fargo. Please go ahead.
Joe O’Dea: Hi. Good morning.
John Stone: Good morning Joe.
Joe O’Dea: I wanted to start on Americas margin, excluding Access Tech. This looks like, I think maybe the strongest first quarter ever and seems like a faster recovery in those margins than you anticipated earlier this year. So, could you talk a little bit about the factors that contributed to that this quarter? And I think then moving forward, anything unusual about the quarter that wouldn’t persist as we continue to move through the year?
Mike Wagnes: Yes. Joe, if you look at the first quarter, we had an extremely strong non-residential revenue quarter. As you know, that is our strongest margin business. So, we had positive mix there and a very elevated revenue number versus what we were in the previous Q1. So, we had both combinations working in our favor. As we move through the year, the one item I do want to highlight, we are ramping up that new manufacturing facility in Mexico. Q1 doesn’t have any real cost there. But as we move through the year, there is investment in start-up costs that are going to be a headwind to margin rate that’s in the assumed guide. And obviously, we are going to be conservative when you think about start-up costs of the new plant so that we are adequately prudent in that guidance. But in general, I would say the factors that drive margin expansion, the productivity that is accelerating from what it was last year, the pricing actions which we feel good about, I think the activity we are driving is sustainable and should be a long-term margin expansion driver for the business.
Joe O’Dea: And maybe just a clarifying point on that, I think given seasonality, the first quarter margin tends to be one of the lower of the year, but given the sort of Mexico factory considerations, is it still reasonable to think about just kind of volume seasonality where we would see margins improve or are those costs such that we wouldn’t?
Mike Wagnes: Yes. I would say if you think about the margin percentage in Q1, historically, less. However, if you look at that dollar amount of revenue for commercial, you would not have the same size of margin uplift delta versus Q1 than maybe historically you have seen. And then the investments – think of the investment for the plant, you could see 10 basis points, 20 basis points full year impact from that level of investment.
John Stone: Yes. I would add, I think looking at Allegion’s historic seasonality, both for volumes and then obviously resulting margins and operating leverage and whatnot, given how the supply chain disruptions of late ‘21, early ‘22, somewhat moved sales volume from one quarter to the next. I think we have got to be a little bit careful on applying just direct historic seasonality. But that being said, we feel confident in the guide and feel confident that we are in a position to continue to expand margins, like Mike said, 50 bps to 100 bps, and continue to do that in future years as well.
Mike Wagnes: And Joe, just to clarify that number for the plant, that would be closer to 20 basis points.
Joe O’Dea: Got it. And then, John, maybe on your point, just as we think about sort of backlog that you have to burn and you have supply chain improving, but on top of it sounds like sort of underlying demand conditions remain pretty healthy. And so how do we sort of combine all those factors as we do think about seasonality and we would think that as you go into the middle of the year, you do improve, given what should be a pretty solid backlog in this underlying demand? But I just want to make sure that you think about those factors all correctly.
John Stone: Yes. I think that’s why we took the organic growth guide up, the total growth guide up, EPS guide up that we do feel like we got off to a really good start. We do feel that non-res demand is robust. And I think again, quarter-to-quarter looks different just because of the comps last year. But full year, we feel good about the guidance.
Joe O’Dea: Great. Thanks a lot.
Operator: The next question comes from David MacGregor with Longbow Research. Please go ahead.
David MacGregor: Yes. Good morning everyone. Congratulations on the results. Great quarter.
John Stone: Thanks David.
David MacGregor: I wanted to ask about pricing in the non-res business and specifically in your spec writing business because this is a business that at least as I understand it doesn’t rely as much on MSRP as much as it’s a negotiated price. And obviously, very strong price realization there. Is it just a more competitively rational space right now and that’s really facilitating the price realization, or maybe just talk about what you are seeing competitively in that spec writing space?
Mike Wagnes: Yes. David, if you think about the non-res business, new construction tends to be quoted work where it is bid. Historically, it is an industry where everyone competes on value or the market leaders, I should say, compete on value, not price. And so as there is inflation, market participants drive pricing actions to cover inflationary pressures. And since there is a higher inflationary pressure, we are able to get more pricing. But the key takeaway on this industry is everyone competes on value. It’s not a race to the bottom on pricing in the non-residential business. It tends to be a very complex configured offering and that allows everyone to compete on the value of their portfolio.
David MacGregor: Yes. I mean I think that’s always been the case. It just seems like right now, it’s a more rational space and maybe your – there is just enough business to go around that everybody doesn’t have to compete whereas hard. But I don’t know if you can comment on that or not.
Mike Wagnes: I would just say for us, and our perspective, I don’t want to talk about anyone else. It’s the inflationary pressures that we felt the last 2 years and the pricing is catching up to some of those pressures. And so you really have to look at it over the last few years, and we have been able to mitigate some of those pricing – I am sorry, the inflationary pressures that we felt end of ‘21, ‘22 and into early ‘23.
David MacGregor: Okay. Great. Second question, just on the distribution channel. In terms of sort of the commercial two-step distributors, are they restocking at this point? Was that a contributing dynamic this quarter?
John Stone: Yes. We do field visits all the time. And I think – again, let’s divide this a bit between electronic products and mechanical products. So, on mechanical products, most of our lead times would be back to a normal level, which puts us in our distribution channel and kind of a made-to-order book and ship type model. And so destocking, restocking is not really a dynamic we see in the majority of the channel. In some of the two-steps, some of the large wholesalers, perhaps. But I think the evidence that we have seen and the anecdotal evidence, at least is demand is pretty robust, sell-through is pretty rapid. And again, as lead times normalize, ordering behavior adjusts and adapts back to that more normal lead time. There are – some of our electronic products, our commercial electronic products, like we said, still elevated lead times, elevated backlogs and that we are just working hard with the supply base and our redesigns and new suppliers are coming onboard just to catch up to demand and get that part of the business back into this book and ship normal lead time space. We are just – we are not quite there yet.
David MacGregor: Thanks very much.
Operator: The next question comes from Brian Ruttenbur with Imperial Capital. Please go ahead.
Brian Ruttenbur: Yes. Thank you very much. Let me talk a little bit about pricing plans for the rest of the year and what you have built into your guidance. It sounds like there is less pricing increases, trying to read the tea leaves here, in the second half of 2023 in your guidance. Is that correct?
Mike Wagnes: We would always announce a price increase to the channel before we would on an earnings call. I would just say, if you look at our pricing and you try to model it for the back half of the year, you got to just take a look at how much price started to accelerate Q2, Q3 and Q4 last year, which is driving some of the reduction in the overall realization. But it’s important to note, you are still selling the product at the same price. So, it’s not like you are selling it for less dollar value, it’s just the incremental realization percentage will decline versus a more challenging comparable.
Brian Ruttenbur: Okay. Thank you. And then my next question is about Q2. I know you don’t normally comment specifically on a quarter, but maybe you can give us a bigger than a breadbox, smaller than a tractor trailer kind of guidance in the second quarter. In terms of versus Q1, should we be seeing revenues and gross margins at relatively similar levels to Q1 and Q2?
Mike Wagnes: Yes. I would really not – don’t really want to give specifics on a quarter per se, but a full year. The only thing I would say is, Q1 obviously a little higher than historically we would do in the first quarter. But I wouldn’t anticipate, don’t model something where the summer season is significantly less than Q1. We still have summers that tend to be pretty strong.
Brian Ruttenbur: Great. Thank you very much.
Operator: This concludes our question-and-answer session. And at this time, I would like to turn the conference back over to John Stone, President and CEO for any closing remarks.
John Stone: Okay. Well, thanks everyone for joining. Thank you for your questions. And again, I would like to reiterate our invitation to all of you for next week’s Investor and Analyst Day. I hope to see you all here in person, both for our management presentations and the tour through the tech center, very excited about that. And just to summarize, continue to see strength in Americas non-res and global electronic solutions. Very pleased, very happy with the Access Technologies acquisition and how that’s starting to perform, very happy and remain committed about our margin expansion, and we will continue that into the future, improvements in cash flow. And just overall, I am really proud of the entire Allegion team and our distribution partners to get us off to such a great start in 2023.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.